Operator: Good afternoon, ladies and gentlemen, and welcome to the Preliminary Results 2024 Conference Call of Raiffeisen Bank International. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Johann Strobl, Chief Executive Officer. Please go ahead, sir.
Johann Strobl : Thank you. Good afternoon, ladies and gentlemen. Welcome to our full-year 2024 results call. I hope that you have had a good start to the year, and I thank you for joining us today. Let me begin with a few overview slides before we dig into the quarterly trends. We start with Slide 4, where we can report group consolidated profits of €1.157 billion and a 9.4% return on equity, excluding the OCI recycling in Belarus. This is, of course, a substantial drop in consolidated profit year on year, and it includes two major effects in the fourth quarter. The first is the provision in Russia related to the recent court decision, what we have from the Rasperia case. The second effect is the sale of Belarus with a PLN impact of minus €824 million I will discuss both of these in just a moment. Focusing on the core group, which excludes Russia and Belarus, we can report consolidated profits of €975 million broadly stable year on year. Like last year, this core profitability is significantly impacted by further litigation provisions in Poland. On the bright side, we see that one of the group, excluding Russia, comes at 15%, slightly above our guidance. Moving to Slide 5 and focusing on the core of the group. loans to customers increased 3% in 2024. Net interest income was roughly flat at €4.155 billion and fee income improved 5% to €1.804 billion. OpEx finished in line with our guidance of around €3.3 billion, for a cost income ratio of 52.5%. On Slide 6, and spending an extra minute on the core of the group, we would like to take a step back and look at how the core of the group has performed since the start of the war, while also comparing this with the full group, including Russia and Belarus in the year prior to the full-scale invasion. Starting with the operating income and operating result, what immediately jumps out is that since 2022, the core of the group has achieved higher revenues and higher operating results than in any of the previous years, including the profitable Russian and Belarus businesses. I realize that over the past three years, we have had more headlines and negative surprises than anyone could have expected, but I also believe it is important to highlight here that behind all the noise, the core and future of the group has performed very well. In essence, the strong performance of the core of the group has already compensated for the loss of the previous contributions of the Russian and Belarusian businesses, which brings me to the return on equity. Again, here we exclude the contributions from Russia and Belarus, and we have also added back the litigation provisions and legal costs in Poland. These have been a significant track on core group profitability in recent year, and we believe that the worst of it is behind us. The idea here is to highlight what the future business of RBI is capable of achieving once we have resolved these legacy issues. With an adjusted return on equity between 13% and 15% for the core of the group, I believe that we have a solid foundation to build on. I will come back to this in a few minutes when we discuss the outlook. Now to my next slide, where first of all, we can share with you our €1.1 per share dividend proposal to the upcoming shareholder meeting. While I realize it is slightly lower than last year, I'm glad that we can continue to allow our shareholders to benefit directly from the good performance of the core group. We have also made an important step forward in the derisking of our Eastern European footprint with the closing of the sale of our bank in Belarus. The final deconsolidation effect is negative €824 million of which only €311 million is impacting equity, the rest being recycling of mostly historic FX losses, which had already gone through capital in a quarterly basis. For the sake of precision, the net from Belarus is negative €800 million reflecting the two months of profits in Belarus for the quarter prior to the consolidation. The impact on the CET1 of the group excluding Russia is four basis points plus when you consider the €2.3 billion RWA deconsolidation. On the one hand, we're satisfied to have closed this first transaction and achieving a decent cash price for a difficult-to-sell asset. On the other hand, it is never pleasant to sell one of our long-standing businesses. Raiffeisen Bank was part of the group since 2003 and consistently affirmed very well in a challenging environment. Now let's turn to our court case. You have surely seen the news in recent weeks about the court proceedings in Russia, which opposed STRABAG and its Austrian core shareholders to Rasperia, STRABAG’s Russian shareholder. The Russian court has unjustly decided that our Russian subsidiary can be held liable on behalf of STRABAG and the Austrian core shareholders. In these court proceedings, the court has awarded €244 million to Rasperia and announced that this adjustment can be enforced against our Russian bank. I will not go into the details or merits of the case, and please understand that there is only so much I can say today as to our legal options going forward. First of all, Raiffeisen Bank Russia will appeal in Russia. Depending on the course of the proceedings in Russia, of course, we will most likely also take action in Austria against Rasperia and seek damages and demand court enforcement against Rasperia's Austrian assets. These assets consist of 28.5 million STRABAG shares, three years of frozen dividends, and the capital reduction which was completed in March last year. If successful, we expect the Austrian court to seize and liquidate Rasperia's Austrian assets. Clearly, this may take time, not least because Rasperia's assets are currently frozen under EU sanctions. What I wish to emphasize here is that we will strictly abide by all EU and international sanctions and align closely with all relevant authorities. From an accounting perspective, we have booked one net provision of EUR840 million in Russian income statement. This reflects the damages for which Raiffeisen Bank Russia has been found liable, the EUR2.044 billion netted with the fair value of Rasperia's assets in Austria. To be precise, the fair value discounts the current circumstances and delays in realizing these claims for damages. I'm sure that you will have a few questions on this in the Q&A, and I will share with you as much as I can. Please understand, however, that there is very little I can say as we are in the very early stages of these proceedings. What is important, however, is that this all is contained -- is contained to the Russian balance sheet. None of this has had any impact on our price-to-book zero CET1, which, as you know, reflects a full loss of our Russian business. Speaking of the Russian business, on my next slide, I can briefly update you on the further rundown of our Russian bank. Loans have continued to decrease in the quarter to around €4.2 billion. Some of this is due to a weaker euro Ruble rate in the quarter, but to a large extent, this is the result of scheduled maturities and virtually no new lending. In Ruble terms, our loan book reduction is ahead of the agreed schedule, and we expect to continue to make good progress here in 2025. Deposits have remained broadly stable in the quarter, but nevertheless down 35% year on year. As you know from our last call, we have virtually no term deposits left, and all current accounts have been repriced at zero. Finally, the restrictions on outgoing FX payments, which we agreed with the ECB, are fully in place. On the balance sheet, the bank remains very well capitalized with a near 46% CET1 ratio and over €4 billion of excess CET1. This is, of course, after having booked the provisions for the legal proceedings, which I discussed. If our Russian subsidiary is indeed forced to pay damages, we can safely say that both the liquidity and the capital positions will still remain very solid. There is little more for me to add here. We are committed to reducing the business, and this is unaffected by legal proceedings or any other development. Let's now move to the quarterly trends starting on Slide 9. Net interest income for the core of the group has stabilized. Most markets were flat or even slightly up, while the increase that you see quarter on quarter is related to some minor seasonal effects in Austria and Czech Republic. Excluding this, net interest income would nevertheless have been very slightly positive in Q4. Moving to fee income, the fourth quarter is seasonally strong, and this year is no different. Across all main product lines, we saw a decent increase. The same goes on a country level, where we saw decent improvement in all key markets. Overall, fees are up 5% in 2024, and I'm happy to already share with you that we expect similar progress in 2025. On Slide 10. Loan development in the quarter was encouraging. New lending trends with corporate clients improved in Austria and in our key network units. Also, this is not immediately visible due to a drop in the repo business in head office. The retail portfolio was stable, and new lending trends in mortgages, particularly in Slovakia and the Czech Republic was strong again, while consumer lending was muted this quarter. On the liability side, retail deposits continue to improve, and specifically in local currencies where margins are attractive. Corporate deposits are broadly stable, as you know. These are usually much more price sensitive and therefore less strategic. Let's turn to Slide 11, liquidity. It remains stable at high levels, and you are familiar with this, you are familiar with these slides, and there is little for me to add here. Moving to our capital slides. First of all, briefly, the group development in Q4 on the RWA side, which Hannes will touch on anyway. Credit risk benefited from further securitizations, while on the other hand operational risk increased due to the yearly update under the standard approach. FX was also a headwind largely from a further weakening in the rubles. Finally, the Russian provisions weighted on retained earnings, while the sale of the Belarus provided a modest relief. Next, most importantly, our CET1 ratio excluding Russia, we finish at 15.1% and expect to remain around these levels by the end of 2025. As you know, Russian operational risk RWAs are still included here, and would otherwise provide a further relief of 79 basis points. CET1 outlook for the core of the group on my next slide, stable in 2025, with on the one hand decent loan growth, but some relief from the introduction of Basel IV. Finally, on Slide 5, 15, sorry, current capital requirements, which are comfortably met. I turn to Slide 16, Emerald buffers in Austria. They remain very comfortable and of course in each of our resolution groups as well. When it comes to issuance, we are happy with the two capital instruments, which we placed in October and November. We recently announced our intention to call in March the remaining amount of the 1.5 Tier-2 note. Looking ahead to 2025, we issued at least two senior notes, one preferred and one non-preferred. I think I can now turn to Slide 17, and later on 18. Slide 17 is the macro-outlook. You might have seen that we had to adjust down a little bit our November forecast. We are now in a range of 2% to 3.5% in Central Europe. I think one can say that consumer demand is expected to have a good development in most of the countries. EU funds will support these growth rates also in the Southeastern Europe wherever the EU members are referred and the FDI will be positive in Southeastern Europe. We have quite robust labor markets and this should be the main source for consumer demand. Fiscal policy will have different impacts depending country by country. And, yes, I think we should move to the next Slide, 18, which covers our forecast to the inflation rates. All of them down nicely. Maybe a little bit above what one would have as a target in most of the markets but well developing and this is reflected also in our key rate forecast which we see in the lower part of the page for the coming years '25, '26 and '27. I think with this, I can move now to the outlook for 2025, excluding Russia. And what I can share here with you is that we expect the net interest income to be stable at around current levels and we expect some further improvements on the fee income. OpEx will be expected around €3.45 billion which then would bring a cost income ratio of 52.5%. And when talking about loan growth, we expect 6% to 7% and RCET1 ratio as I said before 15.2%. This leads me to the expected profitability of around 10% and of course, there is still some negative impact from fewer but still ongoing or maybe coming litigation provisions in Poland. And, yes, if we could leave the Poland litigation provisions behind us and look ahead then as I mentioned on earlier slides, we would expect the ROE of around 13% in the core of the group and also when we look ahead to '26 and '27. Thank you, and with this, I hand over to Hannes.
Hannes Mosenbacher: Thank you, Johann. Good afternoon, ladies and gentlemen. Thank you for dialing in today. 2024 proved to be a challenging year as expected and I'm happy to report that we start 2025 in great shape. The coming year will not be a walk in the park either but I'm confident that we are not on the right footing. We finished 2024 with a 27 basis points provisioning ratio for the core of the group, which includes some utilization of overlays. Without these, our provisioning ratio would have been right in line with our 35 basis points guidance. Core group MB ratio stands at 2.1% with a coverage ratio of 50.4%. Risk costs were very low in most of our countries. The two segments that stood out are green, where we booked further overlays and GC&M, where we needed a few adjustments to our commercial real estate portfolio and otherwise faced a small number of sizable defaults. Without going into single names, I can simply say that we are comfortable with the provisioning of these few cases, and that our OLEDs could be used exactly in the way they were designed. For the better part of the past eight years, risk costs were unusually low, and we built up these reserves in order to smoothen the risk costs throughout the cycle. In addition to overlays, we have also done further securitizations. We entered 2025 with €370 million of overlays available to us in the core of the group, which is around the one year of expected risk costs. Poland was another important factor in 2024. As you have just heard from Johann, we believe the worst is behind us, and we should start seeing lower provisions going forward. The active growth portfolio is largely covered, and the main driver provisions in 2025 and beyond is expected to be the euro portfolio. At the same time, litigation on the euro mortgage has remained very low, and we have not seen the sort of jurisprudence favorable to borrowers like we have seen in Swiss francs. Looking ahead to 2025, we expect risk costs of up to 50 basis points. The operative environment remains challenging, not least due to the weak economic backdrop in Austria and Germany. Finally, in 2025, we will also see the introduction of CRR3, which for us means a day one relief of around about €2 billion of RWAs. There's a large relief coming from credit risk, which is partially offset by higher operational risk weights. The phasing in should last until 2032, at which point we can guide for a fully loaded impact of €600 million RWAs coming from credit risk and operational risk. You should also be aware that market risk is still uncertain, with the main change coming from the fundamental review of the trading book, which is to be introduced in 2026 at the earliest. To you all, thanks for listening, and now we would be ready to take your questions.
Operator: Thank you, gentlemen. Ladies and gentlemen, we may now start the Q&A session. [Operator Instructions] We'll take our first question from Benoit Petrarque with Kepler. Please go ahead.
Benoit Petrarque: Good morning. It's Benoit from Kepler Cheuvreux. So, the first question is on this Bloomberg article. We've seen yesterday stock was down 8%. So obviously, you saw it as well. And I was just wondering if you could give us your view on the matter and also maybe update us on the process of where you are in the process of trying to exit Russia, any relevant updates since last time we spoke, please? Second question is on the net interest income for '25 expected at €4.15 billion. This is actually more than what you get in Q3 for less than €4 billion. So, what changed your view and did you change maybe your assumptions on NI? It seems that you might expect probably slightly more resilient net interest margin in the current interest rate environment and also good loan growth. So just wanted to get your view on the current NI guidance. And also, maybe on the moving part for the CET1 ratio '25, there's a 169 bps negative from risk-weighted assets growth. Now I've done the back-of-the-envelope calculation and that's roughly €10 billion risk-weighted assets add-on. So, I appreciate that 6% to 7% loan growth is a significant number, but just wondering if you could give us a bit more details on the building blocks there? Thank you.
Hannes Mosenbacher : Benoit, if I may start. First, thank you for the question and rest assured that we take all reports and received information always extremely serious. We reviewed the information in the article and I can confirm that there was no breach of sanction at Raiffeisen Bank Russia. Furthermore, I'd like to confirm that, of course, our strict compliance approach and policies will continue. That is very important. So, we consider all the information and reports. We looked at them, reviewed them, and I can confirm, just to reiterate and confirm, there was no breach of sanction at Raiffeisen Bank, Russia. Thank you for the question. Johann?
Johann Strobl : Yeah, thank you, Hannes. One question was where are we in the exit process? I can only say that because of these court claims, it's not only that we are somehow brought into a battle between Rasperia and STRABAG and STRABAG Croatia holders, but there was also a sort of injunction. So, these limits until this court case is somehow decided, our options, our way to close a potential deal. So, we continue to discuss with the interested parties, try to find solutions. But on the other hand, one has to say that this is more complex, as you might guess, that of course, the equity is the core of any valuation, which is now for a moment in discussion and undoubtedly a moving target, if one may say so, and the closing is also an issue. But we are continuing. To your next question, the NII guidance, what improved? Yeah, we assume that first, the rate cycle is lower than we had expected a while ago. Second, we have a slightly better assumption in some countries on the loan growth than we had before. And thirdly, of course, maybe the competition, the price competition on the deposit side was slightly less than what we have expected. So, these three or four elements which play together slightly positive. When talking about your, answering your background question to the loan growth guidance. Yes, well, it differs slightly from country to country. If I give you an idea, so in Slovakia, we might expect some maybe 4% in Romania, more 7% Czechia, maybe 7% Serbia 7%. So, what you see is in some of the larger countries, up to 7%. And yes, in the Austrian business, which is mainly a large corporate business here, it depends on the development of what we expect and then in some of the transactional businesses as well. Thank you.
Operator: We'll move to our next question from Gabor Kemeny with Autonomous.
Gabor Kemeny: Thank you. A few questions on me, starting with a follow-up on NII. Czechia, you flagged some seasonality in the release, I believe for the fourth quarter. Would you be able to quantify this and give us a sense on how you expect the Czech NII to evolve in 2025?And my other question may be on the Polish FX charges. Just like to ask for your assumptions and what makes you confident that the charges will halve this year. I believe this is what the guidance roughly implies. And looking at Slide 19, it looks like you don't assume meaningful Polish FX charges starting from 2026. Can you confirm that and talk about why you expect these charges to fall away from next year? And my last question is on Russia. So, thank you for confirming that you don't have exposure, that you don't have exposure to sanctioned entities. My question is based on your understanding of the U.S. Sanctions regime, can KYC issues create sanction risk? And by that, I mean doing business with entities who knowingly or unknowingly deal with sanctioned entities themselves? Thank you.
Hannes Mosenbacher: Well, Gabor, if I may start with sorry, it's the first one you're saying. No, no, no, go ahead. Okay. The Polish FX charges. Gabor, if you look at our Page 24, you can see that the biggest part is coming from the, so the more or less the active part on the risk strength area, you could say, it is, given the current jurisprudence sufficiently covered. Well, where still the unknown or the question mark, so to say, depends on how many of the rebate loans would now feel motivated also to go the legal way. But also, the current local ambitions to come up with a proposal from the Minister of Justice, the way we understand it is mainly focusing on the still outstanding and active three string loans. So, that's the reason why we would believe that out of the active besides, we would see another big local ambition from the legal industry in Poland that here, which would be more than sufficiently covered. So, what remains is the euro portfolio, which is even much more difficult to model, because we have not seen too many cases and all these led us to the conclusion that we should see a lower provisioning need for the foreign currency mortgages in Poland to come. And the reason why we still guide something for 2025 I just gave but by '26 ongoing, we would assume that most of the -- Polish drama shall come to an end. Johann?
Johann Strobl: Thank you, Hannes. I take the short question seasonality impact in Czechia which is €7 million and then when talking about Russia and the Bloomberg article. So, here, the Bloomberg article again. Hannes volunteers [ph]. Hannes?
Hannes Mosenbacher: Now, what the way we see it is, as I said to you, is that there was no breach of sanction at Raiffeisen Bank, Russia. I also of course confirm again that we take all the information and you have seen the amounts what we are talking about. We are talking about amounts in the level of €180, so not €180,000, €180, €200 whatever euros and some €700. So, we take all this information super serious and review them and look at them. We are anyway in a continuous contact with the different authorities. Is it the ECB? Is it the OFAC? And of course, we also whenever information like this comes up, on the one hand side, we investigate, but also inform these different authorities accordingly. Thank you for your questions.
Gabor Kemeny: Just a small follow-up on the Czech NII outlet for 2025, please?
Johann Strobl: Sorry, Gabor indeed. So, we expect a slight increase a couple of millions from the development of the overall business, so long growth as I have indicated. in the end, there might also be some positive effects impact which overall then might add up nicely. So, the increase if I look at without the effects impact is mid-single digit in absolute amounts in euro terms and, yeah, we see some portfolio long growth portfolio -- growth of the long portfolio and of course, we expect that when funding this where saving accounts this supports the margin. Of course, we expect as we have seen in the slide before, a decrease of interest rates on both sides, so assets and the liabilities. And as I said, a stronger Czech KORUNA will positively impact the euro.
Operator: We'll move to our next question from Riccardo Rovere with Mediobanca.
Riccardo Rovere: Thanks for taking my question. Two if I may, two or three if I may. the first one is, it's again a little bit on Russia. now that you have taken this hit and given that you have still four if I remember correctly, €4 billion of equity ahead of the minimum local requirement. would you ever consider to try to extract the dividend out of Russian operations or given what is happening, and it's probably better not even try to do it, so we can put this thing to bad. This is the first question. The second question I have is on credit losses. In 2025 with your guidance is 50, around 50 basis up to 50 basis without the use of overlays. You still have some overlays. Do you think those overlays could stay where they are and maybe a rebranded tariff, U.S. tariffs or whatever after being rebranded, inflation, energy cost, and so on after they were created with COVID? And the very last question I have is, is it just a little bit on the cost side, what should we expect in terms of RBI being able to, let's say, offset inflation? Do you see inflation progressively, the effect of inflation progressively fading out in 2025? Thanks.
Johann Strobl: Yes, Riccardo, your calculation is right, and of course we will also continue as other banks successfully did to ask for dividends. Nevertheless, what I have experienced so far, we are not very optimistic to be successful on that route.
Hannes Mosenbacher: Riccardo, the credit loss guidance in 2025 of 50 basis before the overlays, would you keep overlays where they are? Listen, we got it in the audience. The way we, why we have used these possibilities within the IFRS framework is because some of the things what we are jointly witnessing, you cannot properly capture in a model. Model was not being trained on a bandeamer nor it was trained on a war. And given the current geopolitical discussion, I think we could see another need here and there to make use of this collective or this post-model adjustment. But just also to clearly state it, as of today, I think we have a good cushion and a good coverage within these overlays. So, this is no hint to add or to reduce, but I'm just saying what was our motivation for making use of it. And my best guess, Riccardo, as of today, is that the level of the overlays might be on a comparable level, what we are seeing in as of today. But as one in England would say, mind the gap, and I think there are quite some surprising factors out there, which could force us here and there to again make use of these overlay possibilities within the IFRS framework. Johann?
Johann Strobl: Yes. Thank you, Hannes. On the OpEx, you are for sure aware, but I mentioned it. Of course, one element when you look at OpEx is the transactional, the transaction tax what we have in Hungary, and due to legal changes, this will increase next year. Put this aside, we see some inflational pressure and so we have expectations that the inflation will be, it will be a struggle in some of the markets to fully compensate the inflation for sure. We will try to do it in the head office. Here, we are very ambitious and in most of the other markets, I think we will make progress. But the impact varies from market to market. So, in some, it should be -- we should achieve it and significantly beat the inflation in others. In '25, it's still difficult, but over time, we will improve also in the other markets.
Operator: We'll move to our next question from Paul Fenner with Societe Generale.
Paul Fenner: Good afternoon. I've got two quick questions. The first is on the Russian call case provisions. What can we expect over the coming quarters? Is that €800 odd million, is that it or could it end up being the full €2 billion and over what time frame, please? So, expectations for 2025. And then the second question is I notice, actually, I work on the debt side and I notice that on your Slide 16, you very helpfully mention what your funding plan is and you say at least two senior benchmarks in 2025. I notice that you have an 81-bond outstanding, which is the 4.5%, which comes up for the first call in June 2025. On Slide 16, you do not mention the potential issuance of an 81 to refinance this bond that's coming up for a first call. So, my question is, would you potentially anticipate being able to call this bond that's coming up to first call without issuing a new bond to refinance it? Or does the very fact that you're saying that you're not going to be reissuing, refinancing mean that you're not going to call this bond and you want to make that clear to investors? Thank you.
Johann Strobl : Thank you for your questions. Yeah, what we did is we did a valuation of the potential counterclaims what we have against this damage. Of course, this has to be updated every month, every quarter. As of now, I don't see significant changes, but yeah. As it is a valuation, it depends on some, let's say, court development, as well as on discount rates and whatsoever as we have assumed that. Even if in Russia, we might have a relatively quick decision, maybe negative for us. In the Austrian courts, which would be the main way to claim for damage, will take a couple of months, two to three years, I guess. And therefore, also discount rates have an impact. So, the normal impact from valuation what you have, given that the assumptions on the court proceedings do not change significantly over the next, I don't know, one to two years at least, and then we will see. Yes, to your funding and what I understand, it's less about the funding plan where I understood you say it's relatively clear, but it's rather about the 81 call in bond 2025. And here I can say like -- Yes. So here I can only say that we have not made any decision yet on exercising the call on this instrument what you mentioned. And of course, it will depend on the financing costs. Maybe I'll leave it with that. But maybe I should add as you were very clear with your question, we do not suggest that we might call without refinancing. Thank you.
Operator: Thank you all for your questions. [Operator Instructions] Our next question comes from Simon Nellis with Citi.
Simon Nellis: Just one last quick one from me, which is on the dividend. How much confidence do you have that you'll get approval for the dividend that you say you're going to propose the €1.10. And why haven't you actually proposed the higher dividends or why won't you propose a higher dividend given that your core equity Tier one is over 15%? I think you're targeting 14%. What makes you feel like you need a little extra buffer? Thank you.
Johann Strobl: Yes. Thank you for the question. We had an intense preparation phase, so I think the core shareholders intend to approve this €1.10 dividend. Of course, having more is always an issue, but I think in the coming years with some uncertainty being slightly above 14.5% target CET1 ratio is a prudent decision, and this is why we decided to stay on that level on with the dividend now supporting also this target till end of 2025 and with all the uncertainties, which had been discussed in the call and in the Q&As today, we thought this might be an appropriate CET1 ratio and therefore a proper dividend for that. And I was informed that, and here I may continue that we also had a question on the 13% from the jet, the 13% ROE medium target. And the cost-income ratio, yes, I think the cost-income ratio is 50%, around 50%, 52%, I think is a quite appropriate assumption given the status of the group. I mean, with the payout ratio, I think the struggle, what we always have in this is that, depending on what the base, what you mean, as long as we -- we do not get any dividend from Russia and here, I'm not so optimistic as I said in an answer before, we have to base it on the on the earnings of the core. And so, you take this as a guidance. Thank you. And then there was a second one as I learned next steps on the Russian court process. And when will we decide on the counterclaim in Austria? I think the first step is of course, that our Russian subsidiary now goes into the second instance. As we received the verdict on already on the 21st of December, there are -- sorry, January, there is one-month time. So, within February, we will launch this, and then, we will see how long it takes in Russia. I mean, what we have seen so far is this is was quite a complex case in the first instance, the ruling came very fast. So that could be again the case, but I don't know. I really don't know. And if the second verdict is against the Raiffeisen Bank Russia, then I think we have to take additional means also in Austria by our Russian entity, but we will support the Russian entity to at least recover the bigger part of the damage which comes from this verdict. So, after the second instance, we will decide on the counterclaim, depending on the outcome. Thank you.
Operator: Thank you for all of your questions. [Operator Instructions]. We'll return to Riccardo Rovere with Mediobanca.
Riccardo Rovere : Thanks for taking my quick follow up. On Russia, the deposit loans are down kind of 30% year-on-year. Deposits are down 35%, around 35% year-on-year. Maybe there is also an effects effect in all of that. But aside this, do you have any feeling or any color you could eventually share with us when you talk to the regulators, the ECB with regard to the pace at which you are shrinking the Russian operations? And more on the deposit side, they were down, let's say three -- around €3.5 billion, Q3 in -- versus Q2. Now they're down capital billions. I was wondering whether, is there a level of the deposit and that becomes that is insensitive all the actions that you have put in place. So, high transaction costs, no remuneration and all of that. And for which, let's say a level, the completely insensitive to the, let's say, to the conditions that you are operating?
Johann Strobl: Yes. Riccardo, I think this is a very difficult question for one reason. I had expected that we see more deposit outflow in the fourth quarter personally than what we have seen. So, it seems that also customers are observing the situation and willing to give up on some of the interest they would get from other banks, but this is difficult to understand what their medium-term perspective is. So, here quite difficult given the limited services, what we offer now. But usually, what you have, it's more a cost, an opportunity cost issue than broader, because you always have this ratio of that 20% of your customers ask for a loan, which we do not provide. So, for retail customers, as well as for corporate customers. It's a negative impact. Coming to the first part of your question, of course, the ECB is well informed about the development also on a shorter period than what we have in our quarterly calls. And as we are fully in line with the requests, it's fine, I would say.
Riccardo Rovere: Thanks a lot, Johann. Thanks a lot.
Operator: As there are no further questions at this time, we will now conclude today's conference call. Thank you for your participation.
Johann Strobl: Yes. Thank you very much for your interest, for your questions, and I wish you a good week. Thank you very much. Bye, bye.
Hannes Mosenbacher: Thank you. Bye.
Operator: You may now disconnect, and have a great day.